Operator: Good day, ladies and gentlemen, and welcome to the Quest Resource Holding Corporation Second Quarter 2022 Earnings Call. Today's conference is being recorded. At this time, Iâd like to turn the conference over to Dave Mossberg, Investor Relations Representative. Please go ahead, sir.
Dave Mossberg: Thank you, Keith, and thank you everyone for joining us on this call. Before we begin, I'd like to remind everyone that this conference call may contain predictions, estimates and other forward-looking statements regarding future events or future performance requests. Use of words like anticipate, project, estimate, expect, intend, believe and other similar expressions are intended to identify those forward-looking statements. Such forward-looking statements are based on Quest's current expectations, estimates, projections, beliefs and assumptions and involve significant risks and uncertainties. Actual events of Quest's results could differ materially from those discussed in the forward-looking statements as a result of various factors, which are discussed in greater detail in Quest's filings with the Securities and Exchange Commission. You are cautioned not to place undue reliance on such statements and to consult our SEC filings for additional risks and uncertainties. Quest forward-looking statements are presented as of the date made, and we disclaim any duty to update such statements unless required by law to do so. In addition, in this call, we may include industry and market data and other statistical information as well as Questâs observations and views about industry conditions and developments. The data and information are based on Quest estimates, independent publications, government publications, and reports by market research firms and other sources. Although, Quest believes these sources are reliable, and the data and other information are accurate, we caution that Quest has not independently verified the reliability of these sources for the accuracy of the information. Certain non-GAAP financial measures will be discussed during this call. These non-GAAP measures are used by the management to make strategic decisions, forecast future results and evaluate the company's current performance. Management believes the presentation of these non-GAAP financial measures are useful for investors understanding and assessment of a company's ongoing core operations and prospects for the future. Unless it is otherwise stated it should be assumed that any financial discussed in this call will be on non- GAAP basis. Full reconciliations of non-GAAP and GAAP financial measures are included in today's earnings release. With all that said, I'll now turn the call over to Ray Hatch, President and Chief Executive Officer.
Ray Hatch: Thank you, Dave, and thanks everyone for your interest in Quest. Second quarter's results clearly demonstrate the strength, our business model and how we conform well in a market environment, that's been challenging for many others. Second quarter results were ahead of our expectations, showing continued momentum from the first quarter. And we're able to offset inflationary cost pressure with flexible pricing and cost recovery fees. At the same time, we've made significant progress integrating recent acquisitions. As a result of our efforts, we've gained significant scale and scope more than doubling the revenue and gross profit dollars year-over-year. And year-to-date, our adjusted EBITDA has increased by 100%. Doubling the company, the size of the company is not an easy task and doing that while improving profitability and improving our already excellent customer experience is even harder. A lot has gone into producing these results and it would not be possible without an extra mile effort from our team. And I want to thank all of them for these efforts. Before I turn it over to Laurie to review the financials, I want to take a moment and say how much I appreciate her for years of dedicated service. As we previously announced, Laurie will be retiring at the end of this month. Laurie joined Quest 10 years ago as CFO and has been instrumental in developing our finance and administrative organization. She played an important role in our business transformation over the last several years, as well as helping us manage the accelerated growth we've delivered in the last two years. We have an ongoing search for newest CFO in process, but we know that these are big shoes to fill. I don't have an update on the search other than to say that we have several qualified candidates that we're talking to. I would also note that Laurie will remain as a consultant to Quest, going forward to smooth the transition. Personally, I'd like to thank Laurie for helping me lead the company. She's guided me through the maze that is public companies and enabled me to appear like I knew what I was doing quite often. I miss doing these calls with you, my friend and forever grateful for her guidance and support. And I wish you great happiness in your next adventures.
Laurie Latham: Well, thank you, Ray. And thank you for those kind words. I have had the pleasure to work with you and many, many fine people during my time at Quest and who I will dearly, dearly miss. Iâm confident that I leave the company in good hands with a strong and tenured team, Iâm very proud of the achievements the team has made and repositioning the company, adding scale and profitability. I believe the future of the company is exceptionally bright. Now moving on to our second quarter results. Second quarter financial results were ahead of our expectations, which was due to multiple factors, including strong activity from our customers across our end markets, growth from both existing and new customers and improvements in efficiencies. Second quarter also benefited from improvements we made from ongoing integration work with the recent acquisitions. We made a lot of progress this past quarter incorporating our best practices to these acquired businesses. And it is beginning to show up in our financial results. We continue to use gross profit dollars as a key metric to measure the success of our initiatives. And during the second quarter, gross profit dollars increased to $14.7 million, which is 115% increase year-over-year and a 30% sequential increase from the first quarter. We try not to make comparisons on a sequential basis due to the normal fluctuations in our service mix and seasonal factors that can make comparisons difficult. That said, the sequential growth from the first to the second quarter was exceptional. So I want to give a little added color. First, strong sequential increase in gross profit dollars came from growth from existing customers, including a ramp of activity from several sizable new clients that we added during 2021. Second, we also saw an increase in the margin profile of existing customers due to a shift in the mix of services and continuous operational cost management. The third driver of sequential growth in gross profit dollars was due to our ongoing integration work of recently acquired businesses. During the second quarter, we saw early benefits from cross-selling and ongoing operational improvements, which includes improving the way that the acquired businesses are contracting, onboarding and billing for new customers. Looking forward to the second half of the year, we expect gross profit dollars to benefit from continued momentum in our organic growth and continued improvements from our integration efforts. In addition, during the first half of the year, we made a number of improvements to the recently acquired businesses and took advantage of some integration opportunities then impacted the second quarter. I also want to point out that after two years of pandemic related disruption, we do expect that we could see a more normalized seasonal pattern resume in our third and fourth quarters. Therefore, we expect that the second half of the year will resemble our first half of the year. Moving on to SG&A expenses, which were $9.3 million during the second quarter, compared to $5.1 million during the same period last year. $2.7 million of the increase relates to the business operations that we acquired in 2021 in the first quarter of this year. Labor cost increased $2.7 million, which was mostly attributable to added headcount from the acquired businesses. Acquisition and integration related expenses increased by $561,000. Other administrative expenses, which were also primarily related to acquired businesses, increased $950,000 year-over-year. In the balance of the year, we expect SG&A costs will continue to be about $9 million to $9.5 million per quarter. The increase reflects the added overhead costs from acquired business operations, ongoing acquisition and integration costs and increased investment in systems, processes, and people to continuously improve our efficiency and scalability of our platform. During the second quarter, depreciation and amortization increased to $2.5 million versus $481,000 a year ago. The increase was primarily related to amortization of acquisition intangibles. We expect depreciation and amortization to be approximately $9.5 million for 2022. During the second quarter, interest expense increased to $1.6 million versus $550,000 last year. The increase is primarily related to the debt financing for acquisitions. Q2 adjusted EBITDA increased 161% to $6.6 million year-over-year. Moving on to a review of the cash flow and balance sheet. Our cash balance was $4.2 million at the end of the quarter versus $8.4 million at the beginning of the year. In addition, we had $7.1 million available on our line of credit. We used $3.8 million in operating cash flow during the first half of the year. The use of cash was primarily related to investment in working capital to support the significant growth we had delivered sequentially and year-over-year. While our June 30 receivable balance was larger, I would point out that the collectability of our receivables is within our normal expectations and DSOs are within our historical range. Of note, we have had several new customers that have ramped quickly during the first half of the year. In particular, our industrial customers were onboarded with extended payment terms. Since the end of the quarter, we have been able to transition those terms to a more typical payment schedule, which we expect will cycle through during the fourth quarter. As such, we expect to generate positive cash flow from operations during the second half of the year. That is of course, borrowing any significant acquisition or meaningful step up in organic growth from the current run rate. During the first half of 2022 CapEx was $402,000 and we utilized approximately $3.1 million in cash to finance a smaller acquisition during the first quarter. At the end of the quarter, we had $71.2 million in notes payable versus $67.9 million at the beginning of the year. That increase primarily reflects the financing for the acquisition that we completed during the first quarter. And at this time, Iâll turn the call back to Ray.
Ray Hatch: Thank you, Laurie. Iâll start off the rest of my comments with some thoughts on the resilience of our business model and how weâve continued to perform well in a weak economic environment. We have a stable annuity base of revenue with our existing clients. Simply put, our waste and recycling services are essential and our clientâs businesses cannot function without the ongoing proper disposal of the various waste streams they produce. By delivering truly differentiated and value added service, weâve created strong and ongoing customer relationships with opportunities to continue to add services and geography to our installed base. On the cost side, we were able to offset inflation in other cost pressures with flexible contracts that allow us to pass through increases in cost, such as fuel surcharges. As a result, cost pressures during the quarter had limited effect on our profitability. I will also point out that with the growth in the scale of our business over the last two years, weâve further diversified our client base and end markets. So if the strength in one area is able to offset weakness in another. Year to date, despite the economic environment, we continue to see stable activity levels across all of our end markets. As a result of these factors, our core business remains strong and should continue to provide a steady stream of profit and growth going forward. Speaking of growth opportunities, I feel very good about the organic growth we have in front of us. Within our install base of customers, we continue to use the land and expand strategy to deliver growth. This strategy has consistently delivered a base of organic growth for the last five years. We added several new service capabilities with our recent acquisitions, and weâre actively introducing those new services to existing clients. By adding new services and geographies, we feel confident that the existing customers will continue to provide a major contribution to organic growth for years to come. On top of growth from existing customers, during the last couple years, weâve improved new client targeting and are closing the right new clients. Our sales and marketing team and their leadership are performing well. During the second quarter, we had several new customers that weâve discussed in previous calls that have ramped significantly from the first to second quarter. As of the end of the second quarter, weâre now fully deployed with one customer thatâll produce eight figures in annualized revenue going forward. This ramp was faster than we anticipated. We have other new customers that will likely take six to 18 months to fully ramp, which is in line with our expectations. I want to point out that these new customers will provide a stable source of business for years to come and a base of organic growth for at least 12 to 18 months, as we roll out services across their footprints. Regarding new clients in 2022, we are continuing to add new prospects to the funnel and several large opportunities across multiple end markets are working their way through our pipeline. I remain confident that we will have success, but as securing sizable new clients during 2022. I would also note that these are large opportunities and a win with any one of them can provide meaningful growth and maturity. As we discussed in last quarterâs call, we have been very busy integrating to RWS and Instream, the large acquisitions we made at the end of 2021. Weâve made significant progress this past quarter, particularly with the back office processes that Laurie mentioned earlier. Weâve been actively introducing and cross selling service offerings. We have been working with vendors to optimize efficiencies and gain benefits of scale and scope. Weâre also working to incorporate sales and operating processes that weâve developed at Quest by incorporating the same types of operational discipline, weâve established at Quest, we believe that there are opportunities to enhance their margin profile. Weâre on track to complete the integration process over the next nine to 15 months. I would like to reiterate that acquisition integrations donât necessarily follow a quarterly schedule. Weâre pleased with the synergies weâve generated in Q2, but again, we encourage you to use our first half of the year as a basis to forecast our performance for the rest of the year. We continue to evaluate M&A transactions. I want to reiterate that weâll continue to maintain discipline in making acquisitions, and weâll only execute those that fit our criteria. Going forward, there will be years like 2021 where we find several good deals that fit our criteria, but there may be periods when we donât find any. I want to note that M&A growth is not a strategy â growth strategy by itself, M&A will continue to be a driver for growth for our business, but itâs only one of three growth drivers. The other two are penetrating existing clients and adding new clients. Regarding our outlook, overall, our positive outlook for profitable growth has not changed. In the second half of the year, we expect continued positive momentum. We manage tremendous growth in the first half and have been successfully ramping new customers and integrating acquisitions. Now that we have at least partially digested this growth, we expect to return to operating cash flow generation in the second half of the year. Pressure to approve sustainability, increasing regulation and increasing cost of landfills are lowering the bar for adoption of recycling services. We continue to view inflation as a net neutral to our business as contracts have mechanisms in place to adjust. The contribution from new client wins will continue to provide incremental gross profit dollars as we onboard these programs. Weâre investing in personnel, technology and processes to further grow gross profit dollars, enhanced client service levels and ultimately expand the bottom line profitability. We expect acquisition integration to provide incremental contribution from both increased efficiencies and cross selling. Acquisition activity is continuing and we expect it to be an ongoing contributor to growth. Based on all these factors and with the business we have in hand, we are optimistic weâll continue with positive momentum for the next several years. I look forward to keeping you updated on our progress. We now like the operator provide instruction on how listeners can queue up for questions. Operator?
Operator: Thank you.  Weâll take our first question from Aaron Spychalla with Craig-Hallum. Please go ahead.
Aaron Spychalla: Hi, Ray. Hi, Laurie. Thanks for taking the questions.
Ray Hatch: Hi, Aaron.
Laurie Latham: Hi.
Aaron Spychalla: Maybe first on the procurement and vendor relations side of things. Can you just give us an update on the evolution there and how thatâs helping on the margin side and your servicing abilities going forward?
Ray Hatch: Sure, Aaron. Procurement â well, vendor relations and procurement are kind of synonymous in this scenario. Theyâve been moving us forward for over five years now and it continues to ramp. Weâve invested in more personnel and I think weâre really seeing some benefits through these acquisitions weâve made taking some of the efforts of that sourcing group and starting to impact costs on their side as well. So if that answers your question, I mean, itâs actually a bigger contributor now probably than ever.
Aaron Spychalla: Right. Okay. Yes, thatâs what I was kind of getting at, just looking at the performance in the quarter. Maybe second, just on some of the recent legislation out in California and the Inflation Reduction Act. Can you maybe give us an update on how that might impact your business going forward?
Ray Hatch: Iâm not really sure. It should be â I mean, I say Iâm not sure, I donât see some real impact pieces at this point Aaron is what I mean. It should be very stable and continue to move it forward.
Aaron Spychalla: Right. Okay. And then maybe last one for me, just thinking about the gross margins on the new organic wins, youâve kind of said initially lower as you bring them on grow over time. Can you just kind of characterize where we are in that process and kind of the efforts and the ability on your end to kind of shorten that timeframe? Just looking at the difference between the first quarter and the second quarter?
Ray Hatch: Yes. Thanks Aaron. First, I would say honestly, itâs happened faster and the margins are higher now than I wouldâve expected would be at this point to the ramp. So that actually circles back to your first question on the efforts for our sourcing group, finding the right subcontractors and the right agreements to put those margins structures in places. I got to give them all of the credit. So the answer to your question is, itâs actually higher than we expected at this point. And I believe the sourcing group has done a fantastic job there.
Laurie Latham: But I think that whatâs reflective is really the six month margin on a more ongoing basis. Donât you?
Ray Hatch: Well, yes, on a larger scale, I think that question might have been specific about that industrial client. Aaron, well, clarify your question for me would you? I want to make sure Iâm giving you the right input. Was it just â was it on the new clients or the overall margin structure?
Aaron Spychalla: No, I mean, I think itâs good. Itâs a little bit of both, I mean, just on the new industrial clients ramping, but also just overall as well as you kind of look at integrating the new customer wins over time as well.
Ray Hatch: Yes. I think to Laurieâs point, we look at if you blended margin over the first two quarters in a macro, and then when you look at some of that specific ramping we were talking about on some of these large clients, they are moving up quite well, well above â actually, above our expectations currently.
Aaron Spychalla: Understood. All right. Thanks for taking the questions and congrats on the quarter.
Ray Hatch: Thanks, Aaron.
Operator: Weâll take our next question from Chip Moore with EF Hutton. Please go ahead.
Chip Moore: Evening. Thanks. Hey Ray and Laurie.
Ray Hatch: Hi, Chip.
Laurie Latham: Hi, Chip.
Chip Moore: Congratulations, Laurie. Thanks for your help. And obviously best wishes. Thanks to go out in a good quarter. And Iâll see youâd be around to help.
Laurie Latham: Thank you. Thank you. Iâm glad weâre able to deliver.
Chip Moore: Yes, exactly. So I guess on the organic funnel, it sounds very strong. Ray, I think you talked about some prospects there that could be quite material. Should we think about these as sort of seven to eight figure type potential wins? And can you say how far along some of these potential deals are and maybe one â when one could get over the finish line?
Ray Hatch: Yes. Thanks Chip. Itâs a great question. When we look at pipelines, I will tell you one, the quality of the folks that we have in there, folks, meaning prospects. Thereâs probably one. Iâd say, I got to count my figures again, make sure I get it right. Eight figure possibility in there. Definitely all million dollar plus, but thereâs some real strength in there and there are slow developing. Thereâs a lot of complexity there relative to all the waste streams. But hopefully, weâre getting near the end of that on some of those and can pull them through. So I expect to continue to have a really nice organic new client acquisition as we move forward.
Chip Moore: Got it. Thatâs helpful, Ray. And back to the margins discussion. Is there a way to think about just in the quarter itself what was sort of favorable mix in the quarter versus more ongoing on integration and some of the other efforts that that we should see moving forward versus what was sort of quarter-to-quarter variability.
Laurie Latham: Chip, itâs a real mixture. First off, I want to emphasize that thereâs a real mixture of things that contribute in there. And I think we articulated those during the call, so we donât really break it down between that. But I do want to point back to these industrial clients that are ramping up and the fact that they are â theyâre largely impactful. And as that interest â I mean that margin percentage has been going up with them, it helps lift the whole average up. So we have seen that come up some. We did have maybe one-time positive impacts with some catch-up billings, new customers onboarding, things like that that we, therefore, as we looked at the whole bucket, weâre looking at the margin percentage more from a six month perspective. If that helps guide you. So there was a little bit of everything in there. Thereâs some good things that are going to continue to keep it at that more like the 17.5% that we saw for the six months. So we do feel comfortable about that. And hopefully that answers your question.
Chip Moore: Yes. No, thatâs very helpful. Thatâs perfect, Laurie. Okay. No, I think Iâll hop back in queue and let others ask. Again, congrats and thanks.
Laurie Latham: Yes. Thank you very much, Chip.
Ray Hatch: Thanks, Chip.
Operator: Weâll take our next question from Gerry Sweeney with Roth Capital. Please go ahead.
Gerry Sweeney: Hey, Ray and Laurie, thanks for taking my call.
Ray Hatch: Hey, Gerry.
Laurie Latham: Hi Gerry.
Gerry Sweeney: Laurie, itâs been a great what six, seven, eight year or so, Iâm sure weâll stay in touch. But Iâll just jump right in the question. Ray, I mean, you talked about like three areas of growth, right? Penetrating new customers, new customers and then acquisitions, but your footprint continues to grow, I guess, geographically and service wise. And on the service side front, when you look at things, is there a service that that you would like to add to this space that could really drive additional growth that maybe you donât have today? Or are you â and can you grow that â create that organically or would you acquire it or do you have enough on your plate with growth in general as is, and youâre not necessarily looking like that.
Ray Hatch: Yes, Iâll try to answer your question. We handle a lot of services. Iâd have a hard time naming them. I think itâs over 100 as far as various waste streams, but thereâs still more we can add. And weâve added some like most recently with RWS we picked up a few. Mostly itâs variations on existing services we have, maybe added some new vendors. I think the better question would be out of the services we have, which one would I really like to see grow the most? And I think the best opportunity is, probably â theyâre all great opportunities, but food waste just seems to be â it has a lot of momentum, visibility. Itâs a huge generator of landfill filling material and the vast majority of that organic waste doesnât need to go there. And so weâre working very hard to expand that part of our business along with everything else. But I see that as a really growing line for us as we move forward, Gerry in general, I really do. And as far as acquiring it versus I think we have it now. Weâll continue to move as we â one of the criteria for acquisitions and we have a number of them criteria is, is that we really would like it to be additive either in the services we provide that we add to our portfolio or the end markets that it represents that kind of thing. So I would anticipate continuing down that criteria and if we add new services through it, we take advantage of it as much as we can. Iâm really proud of what the teamâs done with some RWSâ capabilities that we didnât have as far as already adding it to our portfolio clients that type of cross selling and in selling, if you will just accelerates the value return on the investment.
Gerry Sweeney: Shifting gears a little bit, and maybe looking a little bit further out on the curve. What about technology and sort of enhancing Quest value proposition? Obviously, we had the vendors and pricing and just expertise and disposal. But what about some of the maybe ways tracking and value add that you can bring back to some of the customers weâve spoken about in the past? Is that an opportunity at some point?
Ray Hatch: I swear, Gerry, youâre reading our notes. It is â we view that as a tremendous opportunity. We have been and weâve been doing it, but we can really accelerate and we plan to accelerate our data reporting. Youâre asking about technology relative to customer facing enhancing our value.
Gerry Sweeney: Yes.
Ray Hatch: Yes. Weâre investing in expanding that. We really feel itâs vital and we think we have a distinct advantage not only in the technology itself. I mean, a lot of folks can buy a platform of technology, but the most important thing is the data that feeds it. The fact is since we handle all the waste streams being generated by these clients from motor oil to scrap metal, to solid waste, to food waste, to plastics, to cardboards, the fact that we handle all of those materials, we have all that data. That data, we report back to clients in a user interface that's actually quite timely and very manipulative and customizable. So we've been singing that song pretty good, Gerry, and we're going to keep singing it louder because I think it's one of the biggest distinctions we have. Laurie, you want to add to that?
Laurie Latham: Well, yes, not only is it very useful for business decision making, it's incredibly important for their ESG reporting to get the uniformity of volumes, the uniformity and materials, the uniformity of all these different services across literally every zip code in the United States. You roll that up to the variety of services we do. You roll that up into also all the documentation we deliver and all the regulatory compliance that this also supports. And it's a very compelling package that really drives the value of our offering. So I just wanted to add a little bit there.
Ray Hatch: That's really good. Good point.
Gerry Sweeney: Great. All my other questions have been answered, so again, congrats Laurie on retirement and congrats for a great quarter for the Quest team. Thanks.
Ray Hatch: Thanks Gerry.
Laurie Latham: Thanks Gerry.
Operator: We'll take our next question from Gregg Kitt with Pinnacle Fund. Please go ahead.
Gregg Kitt: Hi, Ray and Laurie, thank you for taking my questions.
Ray Hatch: Hi, Gregg.
Laurie Latham: Hi, Gregg.
Gregg Kitt: First, I want to say thank you, Laurie for your years of hard work, and we're really thankful for you, and we're sad to see you moving on. But we know you'll be here helping whenever Ray and the team need you.
Laurie Latham: Absolutely. And it's really been a pleasure to work with many defined people, and that really does include our investors also.
Gregg Kitt: Excluding me. Just two questions. The first was I think this was one of your best calls. We've been invested for three and a half years now, and I thought your prepared remarks were just excellent. And first, I thought you had a great quarter. And I was excited to hear, I think, Ray, you said something like the bar to adopt recycling services is becoming easier to clear for the bar is lowering. And I was wondering if it's possible for you to qualify what that looks like. Is it just easier to get in front of new customers or what does that look like?
Ray Hatch: Well, I think the â well, first of all, landfills are more and more dirty word on a regular basis, they continue to increase but our competitors are helping us by not only that, but increasing the price of it on a regular basis too. I think Gregg, what I was primarily referencing, I think if you look at and I know you do some of the other waste companies quarterly reports, you're seeing consistent increases in price at landfills as a margin driver for them. While obviously since we don't go to landfill, most of our material that makes the competitive means of disposal, a little more expensive which makes us more advantageous. So really, I think what we do Gregg, is we get in front of customers, our prospects customers and we emphasize that point and we continue to push in front of them that what they may not have thought was economically feasible yesterday is probably or more so economically feasible today. That's how we're utilizing that currently.
Gregg Kitt: Thank you. That was helpful. And I have one more question. You made a comment, something like after two years of pandemic disruption. We could see more normalized seasonal patterns in the second half of the year and so the second half might more resemble the first half. So just making sure that I understand this correctly, if you did $148 million of revenue in the first half and $25.9 million of gross profit and $10 million of EBITDA, should I like not asking for guidance, but is the interpretation that the second half should be similar to the first half in terms of revenue, gross profit and EBITDA the right interpretation of what you were saying?
Laurie Latham: Yes. Yes, that's right. I mean, weâ¦
Gregg Kitt: Thank you for yourâ¦
Laurie Latham: Well, you summarize it so well, Gregg, so, yes, I think if you look back at what we said, we see a lot of positive influences. We also though, are not â we're concerned about a little bit of seasonality, but we feel very confident about being able to replicate the good first half that we've had. And that doesn't mean that some other good can't come with that, but that's what we indicated. That's correct, Gregg.
Gregg Kitt: Thank you. And if I can sneak in one comment, I was really thankful and excited to hear that you're focused on operating cash flow, break positivity as we get into the back half of the year, you guys have been growing so fast, it's really hard to generate cash through the kind of growth that you've seen, but I'm excited that you've taken steps to be focused on managing your working capital. And so thank you for doing that.
Ray Hatch: Thanks, Greg. It's an important part of the growth, having a strategy around that too, and we feel really confident about we're headed with that. I appreciate that comment.
Gregg Kitt: Thank you.
Operator: We'll take our next question from George Melas with MKH Management. Please go ahead.
George Melas: Great. Thank you. Hello, Ray and Laurie, how are you?
Ray Hatch: Hi George.
Laurie Latham: Hi George.
George Melas: Hi. I wanted to make sure to get on the call to say thank you to Laurie for your work and being a good guide to The Street and to myself in particular. And I feel like I have to sort of sneaky in a question. I can't just say thatâ¦
Laurie Latham: Thank you, George. Thank you, George.
George Melas: Maybe on the acquisitions, you've given some interesting details on the revenue contribution cost of sales, so we can do the gross profit and also sort of going down to the be EBIT line. So the numbers are quite, there's a massive improvement from the June quarter to the March quarter. And first of all, the question, there's two questions there. What is driving that means, that huge improvement and two, whether the June quarter results are largely sustainable?
Laurie Latham: Yes, so George, we have emphasized that we have several different elements that have entered into the Q2. And it's not just from the acquisitions. I want to emphasize that we've had substantial growth across our customers within the core and some increases also within acquired companies. So first off, it wasn't just the acquired companies. Second thing is we have had some initiatives as we've been going through second quarter to continue to combat inflationary issues and therefore have made adjustments as we went through the second quarter to maintain our gross margins. And in some cases even improve them. So you have the driver of that. You have the driver of the mix of services, which have changed as some of these big industrial clients have, have grown that changed our overall mix and added some substantial gross profit dollars too. In addition to that, we did have some integration opportunities that we were able to take advantage of in Q2, such as maybe finding some customers that were not being updated as rapidly as a could be therefore improving the turn that we had on being able to get billings out to customers more timely. And so, some of that also caught up with us in Q2 so â from that's why we're giving guidance more to look at the blend. We think that that's more indicative of the go forward and that we were the beneficiary of several elements during Q2 that helped us have such a good quarter.
George Melas: Okay, great. Okay. Thanks. Thanks for repeating all that. It's good clarification. Thanks a lot.
Laurie Latham: Thank you, George.
Dave Mossberg: Thanks George. I guess Laurie got another chance to give you good guide there. So that's good.
Operator: And ladies and gentlemen, this does concludes today's question-and-answer session. I would like to turn the conference back to your presenters for any additional or closing remarks.
Ray Hatch: Yes, I'll take that. I want to thank everybody again for your interest in Quest and I really â I try to do this every time I want to make sure and thank the Quest team for the ongoing efforts to deliver just tremendous value for our clients and our shareholders. They've done a tremendous job. All our initiatives are working well and we've gained a lot of momentum in the recent quarters and I can really feel it. I think you can too. I feel like we're still in the early stages of our growth efforts though. And we have a long road of profitable growth ahead. And I wanted to make sure I want to thank Laurie again last time. I get a chance to this in public. Laurie, when we put these numbers together, she says she's going out with a bang. I think you guys would all agree that this has been a great quarter, great results. I'm happy, Laurie, got to be here to report those. She was a huge part of those results and I'm going to miss her a lot. I look forward to keeping you up-to-date and the quarters to come. Thanks again for your interest,
Operator: Ladies and gentlemen, this concludes today's conference. We appreciate your participation. You may now disconnect.